Operator: Welcome to IMAX Corporation’s Third Quarterly Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Heather Anthony, Vice President of Investor Relations. Please go ahead, ma’am.
Heather Anthony: Good morning. Thanks for joining us on today’s on third quarter 2010 conference call. Joining me is our CEO, Rich Gelfond; and our CFO, Joe Sparacio. Also with us is our Senior EVP and General Counsel, Rob Lister. In addition, this morning we’ve loaded a PowerPoint presentation in PDF format on the IR section of our website to help illustrate some points included in today’s discussion. Before we begin, let me remind you the following information regarding forward-looking statements. Our comments and answers to your questions on this call may include statements that are forward-looking and that they pertain to future results and outcomes. Actually future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. During today’s call references may be made to certain non-GAAP financial measures as defined by Regulation G of the Securities and Exchange Commission. A discussion of management’s use of these measures and the definitions of these measures as well as reconciliation to adjusted EPS and adjusted EBITDA are contained in this morning’s press release. The full text of our third quarter release, along with supporting financial tables, is available on o www.imax.com. Today’s conference call is being webcast in its entirety on our website. With that, let me now turn the call over to Rich Gelfond.
Rich Gelfond: Thanks, Heather. These are exciting times at IMAX. Today we sit at the intersection of the entertainment industry, innovation and the digital world, which is revolutionizing our business in many ways. The powerful global appeal of our brand is increasing and consumers worldwide are seeking premium at home entertainment experiences, differentiated from the choices in home and in traditional theatres. These trends are providing wind at our back. Our third quarter results reflect these trends, demonstrating the strength of IMAX’s business model and the continued demand for IMAX theatres throughout the world. In many respects the third quarter was the best quarter we ever had, most notably for theatre system signings. These signings have resulted in a backlog that should increase the size of our commercial network by 70%. The simple fact is that consumers are embracing the IMAX brand and experience. As the result exhibitors around the world are more interested than ever for being in the IMAX business and theatres are eager to provide the IMAX experience for their blockbuster films. The powerful combination of strong global consumer demand and contracted network growth is giving us increased visibility in to the future of our business. The third quarter, one which featured only one breakout film, Inception, illustrates how network growth and diversified film slate can drive financial performance. We believe that for the next couple of years, the math is relatively simple. To hold our film performance constant with historical levels, excluding any impact from Avatar and simply layer on the growth of our theatre network, our financials will continue on a positive growth trajectory. The slides have been prepared and designed to help illustrate this math. Before I spend further on the model, let me give you some highlights of the quarter and then Joe will provide more details. Our 17% in top-line growth resulted in a 150% increase in net income through the third quarter, excluding variable stock compensation. On a per share basis, that translates into in to $0.15 a 128% increase compared to the EPS of $0.06 on the same basis last year. Our trailing 12 months EBITDA increased approximately 140% to $96.5 million versus $40.3 million in a comparable period last year. As a result, cash on the balance sheet was $45.5 million at the end of the quarter and our net cash position was positive by approximately $24 million, up sequentially versus that of the second quarter. The significant improvement in our bottom line this quarter demonstrates that our new business model as delivering as we had envisioned. As you know we have shifted our strategy to rolling out more revenue share theaters in which we shared our percentage of the ongoing box-office in return for contributing our digital theater systems. The percentage of ongoing box we received from exhibitors is an addition to the DMR revenues, which we receive from the studio. The combination of these factors is driving our significant gross margin expansion. We’ve been often asked, what is driving our business momentum? Expanding on my earlier comment, from the consumer standpoint we believe IMAX stance, seek out IMAX, because it is the best way to experience the biggest blockbuster movies of the year, whether in 2D of 3D. For the studios it is the incremental revenues from an IMAX release, the price premium and the marketing boost as IMAX events the size of the film. From the exhibitors standpoint we believe it comes down to the ways to return of the IMAX business model, incremental box office and market share gains. And perhaps the best endorsement of all these trends, we signed deals for 100 theaters in the third quarter, which compares to 13 theater deals in the third quarter of last year. We are particularly proud of the fact that 85% of this years signings to date have come from existing customers, Regal Entertainment Group and Rave Motion Pictures. Through the first nine months of the year we sign deals for a 198 IMAX theater systems, which exceeded our annual system signings record achieved in 2007 where we signed a 100 theatre deal with AMC and we still have one quarter to go. Today, we are updating our current expectations for network growth for the fourth quarter of 2010 and for fiscal 2011. The midpoint of our 2011 range now implies 80 new theatre openings next year, which are also from our existing backlog. In other word today’s update does not factor in any future signings that may install in 2011. As always we caution that installations can flip from period to period usually for reasons beyond our control. Reflecting this update, our commercial network is poised to grow by at least 25% on a compounded basis. Another exciting driver of our growth is our international expansion. We are rapidly growing our business overseas and saying our international screens produce enormous levels of box office. 41% of this year is gross box office to-date has come from an international theatres, up from 25% three years ago. Let me first touch on China and Russia two very important markets which are have benefitting from an emerging middle class. As discussed on our last call the Chinese government estimates that the country’s cinema industry is expected to grow from 5,000 screens today to 20,000 screens in the next five years. In China we currently have approximately 100 theatres either installed or in backlog, and we are pleased we have signed our first hybrid revenue share deal in China with our long-term partner CJ CGV. In addition this quarter we launched Aftershock, our first local language DMR title in China. Not only was Aftershock the most successful Chinese film in history but the IMAX version generated of gross box office per screen of nearly $200,000 or seven times the box office of regular screens. On the hills of that success we announced that we will be taking part in John Woo’s next movie, the $80 million budgeted World War 2 epic, Flying Tigers another Chinese film in production. Turning to Russia and the CIS, our IMAX theaters in this region are on track to gross over $2.5 million in box office per screen for 2010, generating some of the highest per screen averages in the world. By the end of 2010 we expect that 19 theaters in that region will quadruple our footprint in just 12 months. With 27 more theater backlog Russia is now poised to become our third largest market in the world behind the US and China. Finally, we continue to penetrate revenue share market like Western Europe and Japan, two markets that generates significant box office overall and where IMAX screens delivered box office result that anywhere from three times to 10 times that of a typical screen. Over the last nine months we have signed a record number of theater deals with both existing customers and new customers and with the leading circuits in several key markets. Turning to film, during the quarter Christopher Nolan’s groundbreaking 2D film Inception, generated over $50 million worldwide in IMAX gross box office, making it our fourth highest grossing DMR title of all time. The film’s IMAX version was particularly strong in China, where on just 16 screens the film generated box office of $4.8 million with $300,000 per screen and approximately 7% of the total box office for the country on just 0.4% of the screens. It is also important to remember that Inception is a 2D title. As we’ve discussed in the past, the IMAX model is about cherry picking, the biggest and best titles, whether 2D or 3D that suit the IMAX experience. We are proud to be pioneers of 3D and strongly believed 3D is the key part of the future film, but first and foremost and especially for our business, our movie selection process is about picking the right movie for the IMAX experience. In the fourth quarter, our key titles that would be highly anticipated, first installment of Harry Potter and the Deathly Hollows from Warner Brothers, which would be the fifth Harry Potter title to play in the IMAX network and Disney’s TRON Legacy, directed by Joe Kosinski. Of course, we also are doing Megamind, which is being release by DreamWorks Animation. We are encouraged by the level of advanced tickets sales we are seeing, particularly on the film for Harry Potter and TRON Legacy. In fact, all of the tickets for tonight’s TRON night, IMAX 3D experience during which fans can catch a 23 minutes sneak peak of the film were gone in just 24 hours. TRON is a great example of a picture that will be differentiated for IMAX. On the marketing side, the sneak peak is available exclusively in IMAX, no other theatres. On the technical side, the film benefits from our DMR conversion and on the content side, 30 minutes of the film will take advantage of our unique aspect ratio, resulting in full screen immersion. Differentiation in general is something we are very focused on at IMAX, which I will discuss in more detail in a moment. Looking ahead to 2011, to-date we have announced nine titles which include TRON, which runs over from December; Mars Needs Moms produced by Bob Zemeckis, whose films like the Polar Express, Beowulf and A Christmas Carol have historically over indexed in IMAX. Zack Snyder’s Sucker Punch in March, Disney’s next installment of the Pirates of the Caribbean. series starring Johnny Depp and Penelope Cruz, Universal’s Fast and Furious 5, which marks the return of the Universal to the IMAX business. Disney Pixar’s, Cars 2 which we are very excited about given the strong results we had with Toy Story 3 and the final Harry Potter installment. We have identified virtually all of our remaining titles for 2011 and will now for once finalize over the coming weeks and months. In fact, I was in LA last week and I can tell you the securing titles are not an issue. The list of potential titles is long than it has ever been. Our challenge now is slotting in titles in the right ate slot and optimizing the schedule to accommodate the IMAX window. Anyone who knows me well knows my favorite saying is, it’s never as good as it works or bad as it seems. And as a result we are always looking to identify potential opportunities and road blocks. Given our backlog, our install activities, our strategic partnerships and the films that we believe, the brand is headed on a healthy growth trajectory. Our focus now is on how to continue on this upward trend in the long-term. To achieve this we are starting to focus the organization particularly in 2011, more deeply on three key strategic initiatives; brand, differentiation and reinvestment. Let me highlight of each of these first. First, brand; The IMAX brand or what it represents is undoubtedly our business asset and it’s growing on a global scale. We are taking insights from our recent brands study to continue to grow the brand and to leverage it a new creative ways. As we look ahead, we plan to increase investment in brand marketing. As part of this investment we are shortly launching our newly revamped website, as a matter of fact next week, which would be available on seven languages and will offer to improve the user experience. Next differentiation; Differentiation for IMAX can be achieved in several ways. We will continue to work on technology differentiation through projects like nXos our groundbreaking audio calibration technology and working with Laser Light Engines, the leading developer of laser-based light source solutions for digital projection. In other words the second one is the way to make the IMAX experience much brighter. Differentiation can also be achieve through and marketing, for example events like TRON night tonight, or visionary four makers like Chris Nolan taking advantage of our unique aspect ratio and shooting with special cameras. In fact, you may have read yesterday’s LA Times, in which way Chris mentioned that he will use IMAX cameras to shoot The Dark Knight Rises, the third in the Batman trilogy that he has made. While still very early we have a set a goal that one-third of our DMR titles in any given year will be differentiated above and beyond our proprietary DMR treatment making the IMAX web version of a picture even more awe inspiring for fans around the world, and I thing those of you that see Megamind in the next couple of weeks will see significant differentiation from the regular 3D experience. And third reinvestment, the momentum in our business is beginning to focus us on the question of how to deploy the cash we generate. Our first priority is signing and installing revenue share theatre systems and it’s difficult to find a better investment vehicle given their attractive IRRs. We also plan to increase investments in R&D and we’ll consider strategic investments in technologies or brand extensions, such as our previously announced 3D TV channel. You should note however that as we evaluate any potential opportunities they must make strategic sense for our brand and our company and be capable of yielding recurring revenue and margin at attractive rates of returns. In conclusion we are very pleased with our third quarter. It is relatively easy to grow your bottom line when you are planning films like Avatar. In this quarter a 17% increase in revenue drove a significant increase in our bottom line, largely because of our growing network and diversified film slate. We delivered these results while also achieving several important operation milestones, like getting back in business with Universal, delivering our 200th digital system, taking possession of our first portable theatre and the success of Aftershock our first non-US DMR film. We are in business with very major studio in Hollywood and we are also now in business with studios in merging market like China. Today the IMAX experience is available on 45 countries around the world. As I look back on the business its strikes me that in 2008 we released The Dark Knight on a 110 screens worldwide. Fast forwarding to this November’s release of Harry Potter and that number will triple to close to 350 screens worldwide. With that I’ll turn the call over to Joe who will review the financials.
Joe Sparacio: Thanks Rich. I too am very pleased with the quarter. As we look at our results overall we are hard pressed to find an important metric of the business that did not meet or exceed our expectations. Rich highlighted the third quarter headlines. So, I’m going to jump into the details. Gross box office in the third quarter increased 70% to $97.7 million versus last year’s $57.6 million. Our global box office per screen in Q3 increased 26% to $321,000 compared to $254,000 in the same period last year. Our domestic box office per screen increased 12% to $263,000 and our international per screen averages increased over 55% to $451,000. Looking at our key business segments, total IMAX film revenue increased 68% to $21 million in the quarter compared to $12.5 million in the third quarter of 2009. DMR revenue increased 58% to $12.4 million compared to $7.8 million last year. Revenue from our joint venture arrangements increased 89% to $6.5 million reflecting increased revenue per screen as well as the growth of our JV network. During the quarter, we installed 18 new JV systems and one digital upgrade. Our joint venture theaters generated an average box office per screen of approximately $269,000 in the third quarter up 44% versus last year. We are please that during the quarter, our domestic and international JV screens performed relatively consistent with the overall per screen averages of the IMAX theaters in there respective regions. Revenue from IMAX system sales decreased to $14.8 million in the third quarter of 2010 compared to $20.1 million in the third quarter of 2009. During the quarter we recognized revenue on 74 full new theater systems with an average value of $1.4 million compared to 8 systems in the third quarter of 2009 which had an average value of $1.5 million. The lower average revenue per system reflects the mix of units sold in this year’s third quarter as compared to last year. We also installed three digital system upgrades in the quarter compared to five in the year ago period. It should be noticed that our gross margin rate on our new sales-type lease systems increased to 64% in the third quarter versus 59% last year. Gross margin dollars for the third quarter increased 38% to $25.9 million. As a percentage of revenues gross margin increased 760 basis points to 50.8% versus 43.2% last year. The primary drivers of the increase in gross margin were our JV and film businesses. Film was driven by strong DMR results and the distribution benefited from the continued performance of our original documentary Hubble 3D as well as content licensing revenue. The only other thing I will point out here is that we incurred launch costs of approximately $1.1 million in the third quarter primarily related to our 18 new joint adventure theaters that opened during the period. Excluding the impact of variable stock compensation, SG&A for the third quarter of 2010 was $13 million. On a reported basis third quarter Selling, general and administrative expenses was $16.1 million compared to $12.8 million on the same basis last year. Our reported SG&A for the third quarter includes a $3.1 million charge for variable stock compensation due to the $2.26 increase in our stock price at quarter end as compared to the closing price at the end of the second quarter. This compares with a $2.8 million charge in the comparable period last year. Currently every $1 increase or decrease in our stock price result in an impact of approximately $1.5 million on our reported results based on the number of vested stock appreciation at quarter end. As of September 30th approximately $1.5 million vested variables stock appreciation rights were outstanding compared to $1.9 million as 0f September 30. 2009. All of this has resulted in adjusted earnings per share of $0.15 compared to $0.06 on the same basis last year. Reported earrings per share increased to $0.10 versus $0.02 last year. Our backlog at quarter end consisted up 257 systems, our highest level since the first quarter of 2008; 175 were sales and sales-type leases systems valued at 203.21 million and 82 were joint venture arrangements which carry no stated backlog value. Twenty of the 175 sales-type lease systems in backlog as of September 30th are systems designated for digital upgrades. Our balance sheet remains in very good shape with cash increasing significantly versus year-end. We also paid down another $3 million of bank debt during the third quarter reducing our debt level to $21.9 million at the end of the quarter. Looking ahead to Q4 gross box office to-date is up approximately 17% versus the same period last year with our biggest titles still to come. We anticipate SG&A expenses of approximately $14 million in fourth quarter excluding the impacts of variable stock compensation. In addition, we estimate R&D expenses of approximately $2 million in the fourth quarter. This morning we increased our fourth quarter install guidance by approximately 30%. We now expect to install between 20 to 24 new joint revenue sharing theaters and 15 to 20 new sale-type lease systems. We are not including digital system upgrades in this guidance and remember that as you model your fourth quarter we will incur launch costs associated with the 20 plus new joint venture sites. We are also increasing our fiscal 2011 outlook for network growth by approximately 40%. We now expect to install between 35 and 40 new sales-type lease systems and 40 to 45 new joint revenue share systems. Both of these numbers do not include any upgrades. As Rich mentioned earlier, all of the installations for Q4 in fiscal 2011 are from today’s backlog only. They are typically also systems that get signed and installed within the same year. By the way of example in 2010, we will then sign and install will install over 30 new theaters including JVs, which were not part of our original install guidance given back in early in March of this year. Before we wrap up, I wanted to mention that we have included a unit economics slide, which extrapolates the potential annual run-rate impact per 100 new theater openings. We have assumed that these theaters are evenly split between JVs and sales-type lease systems and they generate about $1.2 million in box office per screen over a 12 month period, consistent with recent historical box office levels, which exclude Avatar. From this slide, you can see the leverage inherent in our model. Similar in theory to a cable operator in the early days, every new subscriber or in our case a new IMAX theater that opens comes within an attractive margin profile as our costs for DMR title are relatively fixed. And with that, I’ll turn it back to Rich for closing remarks.
Rich Gelfond: Thanks, Joe. We are very excited about our third quarter results. This is the quarter where we had only one blockbuster film and an average number of sales-type lease install. And that our financial performance exceeded our expectations as well as the Street expectations. It proved out the power of our model, and we expect our business momentum to continue into the fourth quarter and 2011. With that, let’s open it up to questions.
Operator: (Operator Instructions). Your first question on the line comes from James Marsh, Piper Jaffray.
James Marsh - Piper Jaffray: Couple of quick questions here. First, Joe as we’re going to going through that film revenue it looked like it was very strong. It seem like the big delta was distribution and I was hoping you could elaborate a little bit more on that, maybe how the margins might will go over time, seemed like a lot of it was Hubble in the quarter. I just wondered if you can give a sense, do you think is this kind of one-time event related to the quality of Hubble or this something that you think you can replicate going forward as the network increases?
Joe Sparacio: Also included in that James was the licensing of some 3D titles, a couple of titles in particular and I would hope that as we move forward we may able to take advantage of opportunities like that periodically.
James Marsh - Piper Jaffray: Okay then I had a question for Rich related to China, I was hoping you could just give us kind of update on what’s going on there. Obviously you mentioned the Flying Tigers, is that movie that’s going to be DMR locally so it would be at the 15% rate in China and if that’s the case do you think this is going to be a movie that plays well in the US, obviously it crosses over with the Chinese you have seen?
Rich Gelfond: Yes, James I don’t want to specifically deal with the contracts but it will be DMR locally, so it would be rates that are for local movies not rates that are for imported movies and because of our growth there and because how well we’re doing on a per screen basis, I would be surprised if that was the only film we’re doing in 2011 and we are actually talking about some other titles over there and we’ll see if they come to fruition.
James Marsh - Piper Jaffray: And then just one last follow up for Joe regarding digital upgrades. Joe we are having some difficulty kind of modeling, it seems like there are double digits some quarters to the low single digit the next. What’s the best way to think about kind of modeling the pace of those installs going forward in your mind?
Joe Sparacio: James, In your modeling I would view those as somewhat margin neutral in terms of absolute dollars, we are basically selling them fairly close to cost in many cases.
James Marsh - Piper Jaffray: Okay.
Rich Gelfond: James on the other hand they get modeled that way but remember when a theater converts, it can play a lot more films because digital now allows two week runs like we’re doing right now with Paranormal Activity 2. So they’re revenue neutral on the short-run but in the long-run they contribute.
Operator: The next question comes from Richard Ingrassia with Roth Capital Partners.
Richard Ingrassia - Roth Capital Partners: Rich or maybe Joe, can you put a dollar figure on the investment in technology enhancements in ancillary business opportunities through your 3D network portables, so how much has been spent so far this year and how much, maybe a range if you will between now and next year?
Joe Sparacio: What I think we can comment on right now Rich is what we invested in through the end of the quarter, it’s roughly $2.2 million in the aggregate between the channel and LOE investment that we’ve announced.
Rich Gelfond: And Rich just to give you little color, I would think that next year as we’re actually right in the process of going through our R&D budget and as I said in my comments, I’d like to reinvest a more of our money in around R&D as well as other things I think there is lot of opportunities whether its live events in IMAX or different businesses that are sort of no brands perhaps, in terms of ways maybe we should go, I think like enhancing the portable, which we’ve rolled out. As well as just next generation things like Laser Light Engines. So I thing you should see next year that number going up a little somewhat.
Richard Ingrassia - Roth Capital Partners: Okay. But not big number in any case.
Rich Gelfond: No.
Richard Ingrassia - Roth Capital Partners: Rich given your recent meetings in LA. would you say there is any pressure whatsoever in the share of IMAX box office you received from distributors or I mean given the competition between the studios when IMAX release, could we actually see that in your average start to move higher next year?
Rich Gelfond: Your first question Rich, I met I think with either directors or executives from probably four or five studios and I saw that the question of the theme did not come up once. In terms of it going up, that’s not really our plan Rich. The plan is really to the extent that people want to be in the IMAX window, they try and get them through the differentiated content, which we talked about, our differentiated marketing. As I mentioned in my remarks, we’re pretty pleased that DreamWorks is doing more than they have before for the Megamind Film and I think Twilight which I talked about. And Hollywood is the kind of place where there are rules and I think just like I don’t expect them to come back to us and try incumbency we are certainly not going to go to them try and raise that theme, I think this is precedent in what gets done on their precedent.
Richard Ingrassia - Roth Capital Partners: Got it. Okay, and last question and you have made some public comments already about Harry Potter 7, I like you to just touch on that quickly I mean, Warner Brothers' decision not to release part one in 3D. Do you think it, it says anything about standard digital 3D versus IMAX 3D or is this really just they didn’t have the time to invest and obviously it’s a cheaper ticket across the board but does 3D make a bigger difference on proportionally to your box office as it does to the box office as a whole for the movie or for example a company like RealD?
Rich Gelfond: In terms of 3D it does not have the same impact on ourselves as a company that solely focuses in the 3D business. For example, we were going through yesterday looking at Harry Potter and a lot of the midnight shows that already sold out around the country and you talk about a film that is I guess over a month away at this point, so the demand was very strong. In 3D, obviously, we believe we are the best experience in the world that has, good-better-best and we think we perform well under that model and as you know I think historically we have done anywhere from three to five times per screen what 3D digital screens have gone. However, as I said during the speech we are in both of the 2D and 3D worlds, and if you look at Inception we did way north of 10% in terms of our percentage of the box office and our prices are pretty similar for 2D or 3D. So using kind of a glib commercial line, we don’t really care if its in 2D or 3D as long as it’s in IMAX and that certainly been our experience. So to your question that, that decision has much less negative impact on us than it does on the company that’s solely focused on 3D. One could argue, although I don’t want to take it too far, that we’re the only premium differentiated way to see it when it’s in 2D. In terms of Warner decision not to do it in 3D, as you alluded to Rich we have a very good relationship with Warner particularly on the Harry Potter franchise and I am completely convinced that it was because the time was short and production issues and for no other reasons.
Operator: Thank you. The next question on the line comes from Jeff Blaeser with Morgan Joseph.
Jeff Blaeser - Morgan Joseph: Thank you and good morning. Can you tell us how many upgrade potential do you have going forward?
Joe Sparacio: I think that too is starting to wane a bit. Right now, we’re targeting 25 additional units next year. That’s a preliminary estimate. But that population is starting to wane overtime and there’s been significant upgrade activity this year. Right now, our targets are, by the end of the year, we will have upgraded in 2010 approximately 30 units. So, I think will be pretty far along by the end of next year.
Jeff Blaeser - Morgan Joseph: Okay. Then how should we look at. You mentioned Harry Potter 350 theaters versus maybe a less popular title that has less, Legend was 250, obviously we’re going to add some pretty aggressively in between that. Is that primarily the upgraded that our digitally exist that you are not sending out. How should we look at a low-end and high-end versus the current install base in terms of showing the films.
Rich Gelfond: Yes, some are upgrades, but we are opening at the pace of about four a week right now before Megamind and Harry Potter. So the network is growing quite rapidly at the present time. One of the big differences you will see in number of screens that a film really is released on, actually relates to the time its out there. So if you take a film like Paranormal, two which is out right now that was the digital-only release because it was only a two-week run. So the studious and we didn’t really feel and investing in prints over such a short-run made sense. Harry Potter is a longer run and more of a franchise property, so it will open on a greater percentage of our network.
Jeff Blaeser - Morgan Joseph: It’s okay. And then you also mentioned, international is doing quite well, averaged little bit more. I guess you expect that 1.2 million, I know it’s kind of just a number a historical number to increase because it seems like the backlog is getting more internationally weighted than domestic. Is that the trend do you expect going forward?
Rich Gelfond: I mean I would say Jeff as the trend we hope for going forward in terms of predicting the bad news is the movie industry is very difficult to predict how particular titles will do. The good news is as we go to portfolio theory, this year we have around 14 movies in North America some will do better, some will do worst and you put them all together, if you look back two years that’s what we average around 1.2 million. If you look at that this year, we’ll average significantly more than that but that includes Avatar, which is certainly something of an [over layer]. However, if you put some movie in there not Avatar but regular performing movie we would have done better than we would have done last year on average. So, I leave the modeling to folks like you who are better at it than we are but somewhere we have a lot of faith in our films slate and we think our brand is getting marketed well and our growth in international network, we hope that we see increases.
Jeff Blaeser - Morgan Joseph: Okay, great, and just one last question on the distribution side, are the commercial theaters start to shell more of the under the season, Hubble, is that growing in popularity.
Jeff Blaeser - Morgan Joseph: Yes, it is I mean, I don’t want, you change your earnings estimate materially based on that but they are gaining a little bit more traction, yes.
Operator: Your next question comes from Marla Becker with Hudson Square.
Marla Becker - Hudson Square: Thank you, I have a couple of questions. First, with the Regal and [AMC] it’s great that the economic model changed over the past couple of years of the economic models now enables IMAX in some mid size markets, like Charlotte and Atlanta and obviously that will add dollars in absolute box office growth. But how should we think about the average box office growth per screen going forward as mid size markets can grow as part of the IMAX networks.
Rich Gelfond: In a sense so all of that’s a little bit the other side of what Jeff was saying so our place, great growth going forward is international markets, you look at big cities like Paris where we just opened at first theater or Rome where we don’t have a theater, yet or Tokyo where we have one theater in the suburbs and Hong Kong we just opened and it one of the successful theatres in the world. So I think as do you see us open in some of the international cities that would skew towards the upside and as we go in some of the more middle market cities in the US, I would tend to be towards the downside although there is client of our called Zyacorp that has two theaters one is in [Sacto Maine] and the other is in Hooksett, New Hampshire and I think those theaters are doing numbers consistent with our averages for larger cities. So I think in the worst case say it balance out and may be in the best case for reasons I talked about with Jeff before about the growth of the brand and more titles we can see some upside.
Marla Becker - Hudson Square: On the film slate, you added Paranormal Activity pretty much at the last minute, I view that as essentially down money. How quickly at this point in the DMR profit, how quickly can you turn around a project to get it on the slate and when you are mapping out your slate like you said that you have the 2011 slate pretty much all planned just have an announced at all. When you are mapping to slate out do you put any titles on a waiting list in case you know you want to make an insertion at some point later on in the year?
Rich Gelfond: Marla we can add a title probably in a couple of weeks that all it will take us to do it. And I think you should think of it in two different ways, one is kind of the blockbuster can pull times of the year, Christmas, Thanksgiving, Memorial Day July 4th I don’t think we would ever think of putting in our last minute still on them. Our slates are pretty locked in. I think the terms of last minute would apply more to the September -October period or the mid January - February kind of period or something doesn’t seemed to be playing through. And in terms of waiting, I don’t think is that formal, I think we been having so many discussions now about films that we really can’t do just because our schedule is full but I think we’re always in constant dialog with the different studios. So we know what’s out there and I think you can put things quickly together. In fact there are other alternatives to paranormal that we could have done in this period and we decided not to do for one reason or another, so this is just the only choice.
Operator: Thank you. Your next question comes from Mark Argento with Craig-Hallum Capital.
Mark Argento - Craig-Hallum Capital: When you think about international, given the money growth you have over there do you think about some of these Russian and Chinese markets are you going to be operating in, how do you think about the mix of content versus local lets just say how much content can you repurpose from the States and bring it over versus the local or having more localize content as those markets developed?
Rich Gelfond: I think you really have to think about of the Mark on country-by-country basis. So a place like Russia has a great advertised for Western type films and as we said during the script its we believe it maybe our highest box office per screen in the world and especially 3D near they have a great advertise but 3D in Russia. So country like that even though you have a big growth, I don’t think in short-run it’s really necessary to supplement with local content. Country like China where there is obviously import restrictions on foreign films as well as something you’ll find very interesting on the big movie going times of the year. In China, on February around the Chinese new-year and October around golden week and that happens to be the slowest time in the U.S. So, even if we put the quarter a side on the ability to released block bluster movies in those periods of time, can really supplement your films play in a very interesting way. Obvious country we haven’t talk that much about is India, which has a high viewership of local produce Bollywood films. We’re taking a strategic approach to India, which is looking when and how is the right place handover. That could be another country, we’re doing local contents would make sense as long as we have enough theaters to support, but if the bottom line is, its really a country-by-country analysis.
Mark Argento - Craig Hallum Capital: Got you, in my earlier question you alluded to kind a local market DMR fees versus I would assume traditional DMR fees. Was DMR fees on a local basis is a cost less to do it locally or is the responsibility of the local market content?
Rich Gelfond: I think the question was more on the revenue side. Mark.
Mark Argento – Craig Hallum Capital: Okay.
Joe Sparacio: Then on the cost side. In China there is a very complicated distribution system. So, we tend to get half of the DMR fee. We get on other countries for films we import from the United States, but if you do it locally you can get your full DMR fee just because of the way the studios get paid. China is fairly unique and pretty much every other country. It’s constant. So it’s really not on the cost structure.
Mark Argento - Craig Hallum Capital: Got you. Then last question referring to the slides that you guys put out for the call, on slide 6 and walk through the different map behind the incremental theaters and I just wanted to get a little bit more color on so I am looking at this correctly, just like your assumption is, the incremental margins on this business assuming kind of a 20% of JV revenue growth box office so in to the JV revenue on JV streams in the 12.5% on the DMR side. What stake you assuming basically 100% incremental profit margins on these businesses does that, do you think that’s realistic the incremental margins are truly 100% or do you think that there is some other cost such as some of the local content I think we talked about there separate factor and over time?
Joe Sparacio: The only thing Mark on the slide, I mean the top section is an EBITDA calculation so its more cash flow geared. The only cost that would go against that would be the depreciation cost for the JV units, which is roughly in today’s day 45,000 in units but that’s really it.
Operator: The next question on the phone line comes from Martin Pyykkonen with Wedge Partners.
Martin Pyykkonen - Wedge Partners: Yeah, thanks good morning, very nice quarter and the growth and so far as, couple of questions on China and Russia in particular, can you talk about what average ticket prices at the box are turning right now and may be more importantly where they come from over the last year when you had a much smaller footprint, where you think they might be going just curious how much the ticket price is going now?
Rich Gelfond: Yes, Martin, you have to really separate in to conventional market and the IMAX market. So on the conventional market in China its around $4, its higher than that in the big cities so unlike Beijing and Shanghai but in IMAX we averaged about $12 for inception and about $16 for arbiter so that’s actually wanted a appeal is that IMAX is an affordable luxury. So you have higher income level for years, income level is in such state you going to go buy a Ferrari, but for a couple of extra bucks to go see in IMAX you really did differentiate you from your neighbor if you happen to be rising with the economic type there. In Russia the ticket prices are kind of crazy, the average in some cases more than North America I would use something consistent I don’t know what they are in 35 millimeters theaters but IMAX ticket prices are very similar to what they are in North America.
Martin Pyykkonen - Wedge Partners: And then just going forward opening a specific number to a do you think there is upside to that in these markets where your coupons getting bigger just kind of a viral effect as people, more people get to see an IMAX film which you get more ticket price leverage there?
Rich Gelfond: Again, I think it depends on the market and I think it also three things, the market obviously the economy and the third thing would be the timeframe you are talking about. If you are talking about a five year timeframe, yes, I do think there is upside in this economic environment that wouldn’t be the bet I would make. I don’t think there is lot of downside but I think it’s found a level people are comfortable with.
Martin Pyykkonen - Wedge Partners: Thanks. And then going forward at the end of next year we can probably trying it around this, but can you just going to summarized based on your backlog nothing more than existing backlog. How many total systems you would have by year-end 2011, what number of those or percent would be JV’s and what number of percent would be digital.
Joe Sparacio: Yes, if you look more in the page five of the slide presentation, the estimate would be roughly 206 to 213 JV units at the end of next year, and 238 to 248 were sales type leases the average of commercial footprint would be in the neighborhood of mid 40’s to roughly 460.
Martin Pyykkonen - Wedge Partners: Okay, considering the upgrades and what’s new going in would the vast majority digital by that time or what kind of range would you have be?
Joe Sparacio: Those units that where we can upgrade to digital, I think you’ll see a large chunk have been upgraded by the end of next year. You still going to have the bigger GT units that we don’t have a solution for today. So those who’s continue to be in operation, generally those who are our least problematic units anyways. They generally are high grossing units we get tends for.
Martin Pyykkonen - Wedge Partners: Okay and then last question I hit on in the slide is that I don’t have access to it right now but as you look towards 2012 just based again on existing backlog you have talked about 2011 screen capacity network grouping up about 40%, how much is left for 2012 installation out of again just what you have signed to date.
Joe Sparacio: Around 257 in backlog and back 20 out for upgrades that leaves you with 237. So area of that gets burned out next year roughly there is a mid point Rich quoted earlier, so that leaves remaining population and that alone wind itself for over the next couple of years.
Martin Pyykkonen - Wedge Partners: Right okay.
Joe Sparacio: Now don’t forget Martin that we still have reported to go this year and moving into next year, hopefully we continue to back so the backlog.
Rich Gelfond: I’ll give you the one word answer Martin, plenty.
Martin Pyykkonen - Wedge Partners: Right. Yes, I’ll take it that one. And then just last question on international, I mean, you obviously trying and rush has been a great success, new deals, you have got a strong presence in Japan. What about other parts of the world where should we expect to start seeing deals over the next several months and I am thinking more deeper in other part of Europe, you mentioned something like there is nothing in Rome, Latin America, just even if its qualitative the way you might be doing next?
Rich Gelfond: Yeah, those were actually true as going to mention one is in Latin America, we kind of have a master agreements with the partner there who’s rolling them out and he has had quite a bit of success and particularly recently, with local partners there and I think you will see a number of openings coming from that area next year. Europe its self, we are just really started to see that in the last couple of years we opened our first Joint Venture in Holland and now we have four there. We just opened our first five in France and they performing pretty well, lets see how they do there and important point is we had no theatres in Germany and we just signed our first theater deal in Germany. And the way that works if it hits certain benchmarks the deal expands to more theaters but I think more importantly based on our experience if it works not only that exhibitor but others will be interested in coming into the market. I was in the Europe a couple of weeks ago, I had a bunch of meetings in Italy, I am optimistic that we’ll find the right partner there and get that going so you know I think there is a lot of promise in western Europe as well.
Operator: Next question comes from Jim Boyle with Gilford.
Jim Boyle - Gilford: Good morning, in five years what percentage of revenue do you think internationally even comprises if you continue finding good partners?
Rich Gelfond: If you look at our market potential, I would say North America is about 400 of 1250 zone, so when build out the whole world, and if the theaters performed in a comparable basis around the world, you would expect two-third of your revenue to come internationally now. We won’t have the world built out in five years and obviously the big variances in performance. So, it’s very difficult to predict but certainly the majority of the theaters will be outside in North America.
Jim Boyle - Gilford: Okay. And is there anything that could really impact or slow your installation phase. Besides, North American and or global economic downturn in the next couple of years?
Rich Gelfond: No. I mean I don’t even think downturn would have that much of an impact. And if you look back at the last two years, pretty bad downturn, it didn’t have that much impact. Mostly because remember we’re putting out most to the capital on the revenue sharing deals and on the sales type lease deal, that we’ve been paid in advance on those. So, the economic condition does not had a mark factor and I don’t see them having it. I mean exploring down the installation phase, I mean, I guess there could be a slide of Hollywood movies that comes out to exhibitors if just drop building screens or stop installing but its really hard to see and that’s why the guidance we gave today was only related to those that have signed backlog. I think, where you would more likely see the impact would be in sign and installs rather than the backlog. I think those are pretty solid.
Jim Boyle - Gilford: And then, swapping my question down its head. Is in your estimate, what sort of capacity you will face could you push in the out years, and let say 2012 and beyond whereas that say the 80 that you’re looking at roughly for 2011?
Rich Gelfond: Again, that’s does not a prediction I am prepare to make at the moment from a capacity point of view as I mentioned, we’re putting out for a week so today, so we could install if we had the contracts from the locations. Couple of answer to year and may be more than that so the question is just what’s the market in China has been, what’s the role out schedule but there is no real constrain on us on rolling amount.
Operator: Thank you. The next question comes from [Steven Frankel with Dougherty & Co]. Please go ahead.
Steven Frankel - Dougherty & Co: Good morning. Most of my questions have been answered, but wonder if you might talk in general as you have the discussions with Regal and AMC about expanding JVs. Are they targeting incremental geographies or kind of back filling some of the larger zones with the second screen with those new screens?
Rich Gelfond: They are largely targeting new places. I think some of the locations are looking at existing zones that’s a place as you know Steven well that we would encourage them to go more and we’re certainly talking about it but most to the role after a new locations, new zones.
Steven Frankel - Dougherty & Co: Okay. And could you gives us anymore details on how you might test this affordable fear you just took possession of?
Rich Gelfond: Sure. First thing is kind of what I call a technical test and we cut it off in a field outside of our Toronto where we like to get rain on and the wind blow on, and all kinds of things like that. Just wanted through some of the durability issues and we pretty much completed that and now we’re trying to find some business locations to put in and where the economics are attractive to us and we could kind of have the business model side evidence, we will really have probably about a dozen conversations going on after places to test out, and I wouldn’t be surprise in the next couple of months you started to see it showing up in real places and the business model which start to tested.
Steven Frankel - Dougherty & Co: Okay and how about an update on the digital cameras, when will those be deployed to bring content to the screen.
Rich Gelfond: We are actually using our IMAX digital camera today with a film called ‘Born to Be Wild’ which is we’re shooting on the North African, South American comes out next year, and it’s working very well. In terms of the cameras used on commercial projects you saw yesterdays LA Times article which I reference you should look at it. People like Christopher Nolan are going to use IMAX cameras or other large format cameras to special things for IMAX, we are in discussion with other film makers on that as well. I think people should be and I am certainly less focused on, is it our camera or is it high resolution digital camera because film makers are obviously creative artists and just like a musician may has its own Shalom or Violin. A film maker may have his own camera that he likes. So our cameras usable and available today but I think you will see a lot of film makers doing special things for IMAX with high resolution 2D or 3D cameras that are manufactured by us but by others which is fine with us as long as the image looks great on the screen. Camera revenue is not place where really to make a major financial difference.
Operator: The last question one the lines comes from Jim Goss with Barrington Research.
Jim Goss - Barrington Research: Thank you for giving me, earlier you mention that 14 was about the number of titles that you had this year, is that assuming to be a good working number or do you think that might vary and that something we still working and if you increase it with the DMR cost start to become a factor what I have set having more titles, and related to the flexibility of titles, inspection as it aged started to have a little lower take at your box office would you moved that off sooner if something that promised had developed?
Rich Gelfond: Okay, I needed three things number of films, I think you will see more of those next year than the 14 that we see this year. And I think you know its probably because in some slots but the two block buster films that are very close together, so we are going to try as best as we can, to accommodate as many films as we can, so I think you will start to see some instances where maybe a film opens on all of the screen and then week or two later. It gives us some of those screens to accommodate another movie. So, I think there will be more films as particular in some of the international markets as we talked about before In terms of DMR cost there is some fix cost that gets amortized over the films showed for the year, so if you do more films, your cost should come down but I don’t think that’s material numbers. Its mostly variable cost such as labor that involved but it will come down to some extend And your third question about moving in section. It depend on the market and what the alternatives are but that’s the one can only get from a financial point of view is very good from a branding point of view. And we frequently make decisions that are focused as much around certainly more around the brands than they are in short-term financial result, so we were offered movies this year to sort but then we could have done, we could have put it in for a week, we could put in for two weeks. But we’re really count within. And over the long run IMAX needs to mean something and it means handful films, it means an arm aspiring experiences. It means mind blowing entertainment, the best film that experience on earth so not all films are conducive climax and particular when films are can do so like inception they do more for us than just adds dollars, they are branding awareness. So in china for example where we did $300,000 a screen, I mean, again this is kind of call to talk about that but you can just run the company at one level, which is just short-term profit and bringing it out every quarter. You got to think strategic, and you got to think about were you going to be in five years. And that’s what we think about constantly and that’s a really important thing to us. I think my answer will be no, I wouldn’t have moved inception because I though it was not only good for us financially but really good for us brand wise, which is a good place to kind of start. Thank you for being on the call obviously as we said we are very pleased by the quarter. I think the thing that makes us the mostly is about the quarter was the kind of ordinary quarter as I said going into my initial remarks meaning that there is no advertise, it just a quarter and I think the fact that the financial model work the way it did was very encouraging to us and I think assess the table for us to grow the network in to the future so thank you very much.
Operator: Ladies and gentlemen this does conclude the conference call for today and we appreciate your participation. You may now disconnect your lines and have a great rest of the day.